Operator: Good day everyone and welcome to Verisk Analytics’ Second Quarter 2014 Earnings Results Conference Call. This call is being recorded, at this time for opening remarks and introductions, I would like to turn the call over to Verisk’s Senior Vice President, Treasurer, and Chief Knowledge Officer, Eva Huston. Ms. Huston, please go ahead.
Eva Huston: Thank you, Lisa and good morning to everyone. We appreciate you joining us today for the discussion of our second quarter 2014 financial results. With me on the call this morning are; Scott Stephenson, President and Chief Executive Officer; and Mark Anquillare, Chief Financial Officer. Following comments by Scott and Mark, highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. The earnings release referenced on this call as well as the associated 10-Q can be found in the Investor section of our website at verisk.com. The earnings release results have been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days, until August 30, 2014 on our website and by dial-in. And finally, as set forth in more detail in yesterday’s earnings release, I will remind everyone that today’s call may include forward-looking statements about Verisk’s future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release as well as contained in our recent SEC filings. And now, I’ll turn the call over to. Scott
Scott G. Stephenson: Thank you, Eva and good morning all. Our second quarter revenue growth was good, again driven by very strong performance in our insurance units. We remained focused on our effort to continue to innovate and deliver predictive analytics for our customers, which will in turn lead to solid organic growth and shareholder returns over time. As we’ve discussed with you, we consider our organic growth rate to be the single best measure of our vitality as an organization. I believe our assets makes us the best, it has been in my years with the company. And we believe our assets will allow us to deliver the kind of organic growth you’ve come to expect from Verisk. I want to share with you a couple of recent highlights, across some of our key themes. A wonderful example on the innovation and investment agenda is the launch of Touchstone 2.0 which is the next version of our next generation cat modeling platform, released earlier this month. As you know we’ve invested in Touchstone and are very pleased with the customer adoption, we’ve seen in the course of 2013 and 2014. With this second release, we’re introducing many new capabilities, including support for non-cat risks, such as fire, lightening, explosion and vandalism. Having this information in a single platform, by leveraging other parts of the Verisk insurance solutions group, provide some more comprehensive view of risk, thereby expanding the value to our insurance customers, by giving them a more holistic view of their portfolio. Second, we’re focused on the large and long-term opportunity, related to international expansion. We’re in the very early innings with international comprising a small piece of our revenue today. Our units within existing presence outside the U.S are working to expand. We generate revenue outside the U.S today from analytics-related to catastrophe modeling, environmental health and safety, payments and insurance claims. Our other units with solutions and analytics which are applicable or adaptable to international markets are exploring the best ways to enter those markets. A recent example of our international efforts is the Risk Symposium, we held in London, in June. We were pleased with the quality of the attendees and the strong interest in our solutions from the insurance industry. As we’ve discussed in the past, our international efforts will reflect the mix of both organic growth and acquisitions where they make strategic and financial sense. M&A remains high on our agenda and our team is actively evaluating opportunities, while we remain focused on our core principle of creating shareholder value through innovation, discipline and execution. We’ve meaningful capacity for additional acquisitions that meet our strategic agenda, both through our significant free cash flow, as well as our borrowing capacity. We also have continued to repurchase our stock, a sign of confidence in our future. We continue to work through the SEC approval process, in connection with our announced acquisition of EagleView Technology and still expect to close the acquisition in the third quarter of 2014, likely towards the end of September. In the second quarter of 2014, we delivered good overall performance with total organic revenue growth of about 9% and diluted adjusted EPS growth of about 8%. EBITDA margin in the quarter was about 46%. We are focused on delivering value to our shareholders and we remain disciplined in our use of capital. In the quarter we returned capital to our shareholders through stock repurchases of about $30 million. Our remaining authorization at the end of the quarter was about $346 million. We will continue to use our authorization consistent with our capital allocation strategy as we previously outlined. And with that, let me turn it over to Mark to cover our financial results in more detail.
Mark V. Anquillare: Thanks, Scott, and good morning. In the second quarter, total revenue grew 8.5%. For the second quarter, our Decision Analytics segment delivered 10.8% revenue growth. Growth in the quarter was driven by strong performance in insurance. Our Decision Analytics insurance revenue grew 14.2% in the second quarter. The increase was driven by strong growth in loss quantification and catastrophe modeling solutions. Underwriting growth in the quarter was good and claims solutions also contributed. Overall revenue growth was driven by the increased adoption of existing and new solutions as well as a strong quarter for tax-free bonds, although even without that benefit, our Decision Analytics insurance growth was double digits. Because of the cat bond revenue, which is based upon market transaction, I would expect growth to moderate a bit in the coming quarters, but will be strong for the year. In addition, we have seen the benefit of new contracts and adoption of new solutions in our repair cost estimating business. These began in 2013 and will come full cycle in the second half of this year. In financial services, revenue growth of 11.6% in the quarter was in line with our expectations. Second quarter growth was below our first quarter growth rate due to larger than usual project revenue in the second quarter of 2013. However, overall this is a highly recurring revenue business which offers us a very good visibility. We are confident that the growth outlook at Argus remains strong. This includes opportunities related to international expansion, additional penetration of existing customers, and partnering opportunities, in particular related to advertising effectiveness with traditional and new media companies. We remain confident that financial services will grow at least mid-teens in 2014. In the healthcare vertical, revenue in the second quarter grew 6.6% led by growth in revenue and quality solutions. We are focused on the Medicare Advantage busy season, which will run through early 2015. We have much better visibility into our customer volumes for this year than we did last year at this time. We’ve improved our operations in support of the business and we have achieved over 50% more records in the second quarter of 2014 than in the second quarter of 2013. Pulling the work of the busy season forward and staffing ahead in this way is precisely where we thought we’d be and exactly where we need to be in order to deliver the mid-teens growth for the full year 2014. In the specialized markets category, revenue increased 0.8% in second quarter. So good growth in the quarter in environmental health and safety solutions and weather and climate analytics to the commercial market. Growth in government space was offset by the shift of (indiscernible) contract from development to maintenance mode. Turning to Risk Assessment for the second quarter, we put revenue growth of 5% indicated the value to our long standing trend customers. Our industry standard insurance programs grew revenue 5% in the quarter, this reflects our 2014 invoices which were effective January 1. In addition we saw our contribution to growth from newly adopted solutions such as predictive modeling, electronic reading content and worker’s compensation solutions. We are putting a lot effort into our long standing solutions and building our culture continue our strong position into the future. Property-specific rating and underwriting information increased 4.8% in the quarter. This increase was from new sales including those resulting in higher committed volumes. EBITDA from continuing operations for the second quarter increased 8% to $194.2 million and our EBITDA margin was 45.9%. The margins in Decision Analytics were 39.4% in second quarter 2014 versus 39.6% in the second quarter of 2013. After the dip in margin, the first quarter 2014 related to increased cost in our healthcare business as well as investments to support our innovation agenda. We are pleased to see the margin close to where we were last year in the second quarter. Our preparation for the Verisk Health busy season has included earlier hiring to ensure appropriate staffing levels. So, this is a good result even with the front loading of these expenses. You will recall that as revenue picks up in healthcare business, some portion of these expenses were as well. These variable costs is something you may want to keep in mind, if you look DA margins for the rest of the year. In the quarter, our Risk Assessment margins were 56.3% versus 56.0% in the second quarter of 2013. Our margins were advanced in the quarter by revenue growth, good expense management and lower pension cost. Our interest expense was down $2.2 million in the second quarter versus the respective period in 2013, due to lower debt balances as a result of repayments made in 2013. As we discussed last quarter, we anticipate using our revolver and cash on hand, including the proceeds from the sale of Interthinx to fund the purchase of EagleView Technologies.  Our reported tax rate was 37.9% for the quarter. Adjusted net income increased 5.1% to $96.9 million in the quarter, adjusted EPS on a fully diluted basis was $0.57 for the quarter, an increase of 7.5%. The average diluted share count was 169.5 million shares in the quarter. On June 30, 2014 our diluted share count was 169.5 million shares.
 :
 : Our debt-to-pro forma EBITDA from continuing operations as of June 30 was 1.7 times below our steady-state target. With the acquisition of EagleView Technology using in part cash on hand, interest paid or leverage will be about two times to close the transaction. Free cash flow just for two items discussed below grew 4% compared to the prior period to $228.1 million. This represented over 60% of EBITDA from continuing operations in the first six months of 2014.
 : Cash provided by operating activities, as reported increased $40.1 million. This increase was the result of $20.6 million increase generated by improved profitability of the business, a $5 million decrease in interest paid due to lower debt balances, and a decrease of $46.2 million in taxes. This is partially offset by a $10 million use of cash for working capital, another balance sheet changes and other outflows of $21.2 million.
 : As you think about your models for the full year 2014, we expect flattish margins for the full year, excluding Interthinx. As we remain focused on our innovation agenda, we are maintaining our longer-term view of margins in the 45% to 47% range. Amortization of intangibles is expected to be about $57 million, fixed asset depreciation, amortization of about $85 million and an effective tax rate between 37% and 38%. We aim to keep our share count flat through our share repurchase program. And at current debt levels, our quarterly interest expense is about $18 million. Based upon the strength of our cash flow generation and current debt to cash balances, we anticipate borrowing about $300 million less for the acquisition of EagleView, depending on the timing of close and other events. We are expecting to incur $4 million to $5 million of higher legal and professional services fee related to the transaction, most of which will fall in the third quarter. After the close of EagleView transaction, we will update you. Overall, we are pleased to report that our business is performing well. We have a nice mix of growth across multiple verticals, we are executing on our operational plans and we continue to invest with discipline for the future and we continue our strong organic growth. I will turn it back to Eva for a comment before Q&A.
Eva F. Huston: Thanks, Mark. We appreciate all the interest in Verisk. And given the large of analysts we have covered, we ask you to limit your questions to one and one follow-up, this will give more people an opportunity to ask questions. And with that, I'll ask the operator to open up the line for questions. Operator?
Operator: (Operator Instructions) And our first question will come from the line of Manav Patnaik with Barclays.
Manav Patnaik – Barclays Capital: So the first question is just around the cat bond business, I was wondering if you could help us understand the size of that business because clearly it’s been a nice driver for the DA insurance for some time and also if you could maybe help understand, I think you’ve pointed a little bit, but just the one-time impact from just the issuance levels I guess versus the subscription base that moved up?
Scott G. Stephenson: Sure, so let me first describe a little bit about the way we think of cap on some. Those are very big function inside the opportunity where there is a model that is used for any type of insurance link transaction. We believe that the science is very important there it’s probably the pure sense of the quality of the solution and in a very significant majority of the coupons AIR has own that business, so unfortunately it’s a little bit more difficult to predict, it kind of gets up and down year and year out generally though the trend in insurance-linked transaction in coupons has been growing over time. So we think that is positive trend broadly. I think the best way to kind of describe, the impact is, it is not a material part of the cat remodeling business, but it becomes increasingly more important. The overall growth that I wanted to describe inside of Decision Analytics insurance as a whole even without that would have grown about 10%, an excessive 10% actually in the quarter.
Manav Patnaik – Barclays Capital: Okay. And then, maybe just around in the financial services piece, you referred to the opportunity in the advertising effectiveness with media companies. I was wondering if you could just help us or elaborate just a little bit more on what exactly that mean?
Scott G. Stephenson: This is Scott. Basically through the work that Argus does we have a very comprehensive view of spending patterns by individuals and households. And the world of those who are trying to promote to individuals and households is interested in understanding what the reaction is when there is some form of media campaign. It could be traditional media, it could be new media. Argus data are useful in understanding what the reaction is in terms of consumer spending patterns. That’s the linkage.
Manav Patnaik – Barclays Capital: Okay. Fair enough. I’ll get back in the Q. Thanks, guys.
Operator: And our next question will come from the line of Tim McHugh with William Blair & Company.
Timothy McHugh – William Blair & Company L.L.C.: Thank you. First, I guess I want to follow-up on the catastrophe business a little bit. Besides obviously the bond, can you talk about what’s driving the strength there? If you look at the biggest competitor there, they seem to be growing more like mid-single digits. And then, I guess can you touch on, I guess, maybe Touchstone 2.0. I know they’re in the process of trying to roll out their own kind of new technology platform. Just competitively how do you think about that there?
Scott G. Stephenson: Tim, your second question is actually the answer to your first. A lot of the growth that’s going on now is innovation around the software platform that’s used for not only delivering the cat models, but actually interpreting the cat models into workflows. And this is the change in the cat modeling business. It used to be more about the basic model, which was essentially around a stochastic view of the probability of disasters and their impacts on damage and then the damage impact upon insurance outcomes. Those are the core models. The software, which is really – and this business has become much more software intense, I would say over the last year or two. The software is basically about graving those models and helping our customers to interpret them into their own decisions, whether it’s at the portfolio level or the individual risk level. And the market is responding very positively essentially to all of the things that I just described. Our models are seen as being great distinct, very grounded and really good signs. And our software is industry leading at this point. So there’s really been just kind of an across the board very strong reaction by the market. And when I say the market there are lot of different customers segments here, there is global reinsurers, there is insurers, there is reinsurance brokers and all of the segments are responding strongly and positively to what we do.
Timothy McHugh – William Blair & Company L.L.C.: Does that mean that you’re displacing the competitors there, because they don’t have a new platform out there and are they grabbing new shares? And I guess associated with that do you, I guess if you’re displacing the competitors, what is the risk as they were out their own technology platform that it all stalled some of the pace of growth here, I guess that you’re seeing?
Scott G. Stephenson: We are really quite sure that we’re taking share, but it’s also the case that the size and scope of the relationships with our existing customers are also growing. So, both of those are contributing to our growth. And, yes, we expect that RMS will eventually come out with their own solution and this is a – this will be a perpetual journey for us in terms of always upgrading the value of our solution. That is not really anything different from where the business has been in the past.
Timothy McHugh – William Blair & Company L.L.C.: Okay, great. Thank you.
Scott G. Stephenson: Welcome.
Operator: And our next question will come from the line of James Friedman with Susquehanna.
James E. Friedman – Susquehanna Financial Group, LLLP: I guess I will ask mine up front, but the – I just want to clarify Mark, with regard to expectations that they would imply that this second half healthcare growth is either in excess of 20% and also at the same time that you’d said you’re expecting team’s growth for Financial Services.
Mark V. Anquillare: So your math is correct? Correct, yes we are expecting both of those. We are doing the right things with regard to healthcare and position to deliver. And at the same time I just want to emphasize that how strong a business the Argus business is, and I think we feel that we’re making great progress along lot of fronts.
James E. Friedman – Susquehanna Financial Group, LLLP: Great, I appreciate the clarification. Thank you.
Operator: And our next question will come from the line of Jeff Meuler with Baird.
Jeffrey P. Meuler – Robert W. Baird & Co.: Follow up first on the healthcare outlook, I think it sounded like part of what gives you confidence is that you are better prepared for the busy season and maybe you’re going to be pulling some revenue forward. Is that the primary sector that gives you the confidence and the re-acceleration in healthcare growth? And asking that from the standpoint that if there is kind of this one-time catch up benefit is the longer term outlook for that business still similarly kind of mid-teens plus.
Scott G. Stephenson: Let me, let me take your question kind of in the order they were placed. Our confidence about the back half of the year is really a product of two things; one is, we have had the benefit now of the first two quarters and the way that we operated to business and Mark referenced the fact that in the second quarter the quarter we just completed, we retrieved more than 50% of more records than we did in the prior period, second quarter 2013 and so, we have a strong sense of the arc of the volume of the business based upon the fact that we’ve already moved a good number of transactions into the pipeline and as I think most of you know we moved from retrieving the records, coding the records on to the answer that our customers’ needs by way of risk adjustment. So we have observed what we – how we actually operated in the first two quarters that, that’s one part of our confidence and the other is we know where we are with the costumers in terms of what they have access to in terms of volumes to the full year 2014. With respect to the longer term and of course our business is made up of many different things we serve the Medicare Advantage space, we serve commercial payers, we have a variety solutions in our view of all those systems that were still a relatively small player in the healthcare data analytics space and essentially our view on that has not changed.
Jeffrey P. Meuler – Robert W. Baird & Co.: Okay, and then there is talk at the analyst day about Telematics, there was talk in this call about expanding internationally. I believe there was a Telematics international acquisition that got transacted in the quarter. Can you just maybe recap us on what exactly you are looking for in the Telematics space and whether it’s likely to be a build or buy?
Scott G. Stephenson: Yes, so we did announce an acquisition it wasn’t in this quarter was actually a while ago, and it is a very, very small acquisition what we acquired was really technology, but our view on Telematics overall is, it is likely that with time our customers are going to be interested in how they rate auto insurance policies and that at some point which is very difficult to determine actually very difficult to predict, data derived via telemetry from vehicles, it can probably play some role in all of that. And our first and most important goal here is to remind relevant in terms of auto policies get priced. And so we feel the need to be very familiar with the kind of data that are coming off of the installed devices that you kind of see today, the after-market devices and the mining of data from the OBD ports on the vehicles and but also – actually there is more interest now in seeing whether we can use our smartphones to also communicate some of the dynamics of the operation of the vehicle. So we’re really interested in it, because we have a relatively large business today in the mechanics of rating a personal auto policy, net commercial auto policy. And we see Telematics first and foremost as our ability to stay current with respect to what’s happening there. So some of what we do in Telematics will express itself as sort of new factors, which are incorporated into our rating programs and won’t necessarily emerge as separate revenue line items. But it’s also the case that we think that as we continue to do work in the Telematics space, we’re open to also finding ways to license some of the methodology to others that are also interested in mining telemetry data.
Jeffrey P. Meuler – Robert W. Baird & Co.: Okay. Thank you.
Mark V. Anquillare: Welcome.
Operator: Your next question is going to come from the line of Andrew Steinerman with JPMorgan.
Andrew C. Steinerman – JPMorgan Chase & Co.: Hi, gentlemen. Mark, I wanted to ask you about some of the events hiring in Verisk Health – it’s obviously – is it optimistic side about revenues, I want to talk to you about margins. My question is, has Verisk Health created better efficiencies going into this busy season, because I’m still remembering from last busy season which was fourth quarter of 2013 and first quarter of 2014, that it was kind of a headcount intensive process for Verisk’s part. I was wondering, as we go into this busy season, while always will require additional heads, will it be efficient?
Mark V. Anquillare: So, thank you, Andrew. It’s a good question and let me just describe a little bit about the plan that we have and how we’ll roll this out. Because of the – a little bit kind of seasonal nature of the business, I think – we are doing right now is we’re getting enough people in place to satisfy what I’ll call the busy season which is the July through to typically into January sometimes in February, Medicare Advantage sweeps. What we’ve also done is we kind of work with some partners to handle overflow business. We have that both onshore and offshore to the extent that we need. And the expectation is because, a, we are hired and ramped up significantly more than last year. So that’s why I referenced the additional costs in the quarter that we probably didn’t see in the past. We should be better ready, better equipped to provide: a, higher quality service; b, the productivity should be there. It is difficult sometimes to try to manage all these new hires and that kind of self staffing somebody who we have had some tenure with will be better equipped to be able to be efficient, be more productive. We’ve also worked – we talk about a lot of effectiveness in efficiency, we’ve also worked on internal processes, we have metrics, we have work flow solutions all of those should contribute to higher quality and more effective process in the latter half of the season but the latter half of what will be 2014. That's what gives us some of the confidence as we talk about going forward. A lot of these volumes is about interacting with customers, making sure we know how they're going to give to us, when they’re going to give it to us, so we can deliver on our promises and deliver kind of results for them.
Andrew C. Steinerman – JPMorgan Chase & Co.: And so there should be some operating leverage as the revenue grows picks up right.
Scott G. Stephenson: We clearly incurred some possible in the fourth quarter of last year and first quarter of this year I mean in 2014 to handle the volumes and to satisfy customers. Those are kind of excess costs we would not expect to continue, correct.
Andrew C. Steinerman – JPMorgan Chase & Co.: Perfect. Thank you.
Operator: Our next question will come from the line of Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Hi good morning. Thanks for taking the question. I just wanted to clarify and understand a little better in the Healthcare business. I think the reference was to having collected more than 50%, more volume or increased volume versus the first half of last year. I'm just curious as to how that ultimately translates into revenue. I know there have been some pricing incentives to drive volume. You clearly looking for an acceleration in that business in the back half, but can you just describe the dynamic between record volume and maybe price per and how that informs the revenue growth in the business?
Scott G. Stephenson: Yes. Let me, you had a couple questions in there. So just first of all, to clarify the factual statement. What we were communicating is that the number of records that we retrieved in the second quarter of 2014 was more than 50% greater than the number of records we retrieved in the second quarter 2013.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Okay, so q-over-q.
Scott G. Stephenson: Q-over-q.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Got it. Okay.
Scott G. Stephenson: And the way that we get, the way that we get paid is we actually have to work through not only the retrieval of the record, but actually through the coding of the contents which is really onto the interpretation of the content and deliver all of that to the customer. That is the point at which we get paid. And so in a sense, you can see what we did in second quarter of 2014 and the growth relative to 2013 is essentially part of the priming of the pump where we will then sort of work through the completion of each of these units as the second half of the year moves that and that’s when we will recognize the revenue. You should not understand a relationship overall between increasing volumes and price point. Last year we referenced the fact that there was one case in particular, where we made that tradeoff, but that’s not fundamentally an explanation for why our volumes are growing.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Okay. So, revenue, all else being equal in that business should more or less track volume growth? Is that the right way to think about it?
Scott G. Stephenson: Yes.
Mark V. Anquillare: Just one quick clarification for you. Exactly what Scott said, yes, but it’s also an illustration that we’d accelerate the program and we’re trying to move some of these work volumes forward too. So I’d to describe to you a combination.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: So timing in the year versus last year as well?
Mark V. Anquillare: That’s well, as volumes. Correct.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Okay. Great. And then, if you could just elaborate, Mark, a little bit on the nature of the project revenue at Argus. Is that business that comes on and off in some sort of predictable way? In on other words, could there be another quarter in the future where you’d see a big jump in growth for these projects or is it much more episodic than that?
Mark V. Anquillare: So a very large percentage of the Argus business is long-term contracts. We recognize it greatly over the year, very high visibility, very high rate of recurring revenue. Around those benchmark studies the beauty of the Argus business is they get very deep and very close to the customers who then need some special projects done. In many cases that work or that project work tends to flow a little bit more heavily into the fourth quarter. It represents a smallish fraction, between 10% to 20% of the business and it’s pretty regular, but there is some timing elements as to when. And there was a pretty major project that took place in third quarter of 2013. I would tell you that it wasn’t anything we would call out because it is just kind of a part of the business. It happens all the time. So I would tell you we are not concerned by anything, but you see kind of slower growth here in the second quarter around the Argus business. I think we feel good about where we’re going to be.
Scott G. Stephenson: One of the nice things going on at Argus is that we’re continuing to find a home in non-domestic markets for our method, which is a real source of encouragement for us.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Okay. So that business could be a little bit volatile quarter-to-quarters is what you’re saying?
Mark V. Anquillare: Just on this small fraction revenue, we typically do not view it as all that volatile and I respect the comment.
Andrew W. Jeffrey – SunTrust Robinson Humphrey, Inc.: Okay, thanks.
Operator: Our next question will come from the line of Bill Warmington with Wells Fargo.
William A. Warmington – Wells Fargo Securities, LLC: So, a question for you on EagleView the – I wanted to – to check and see if the company was still on the same trajectory as what we had talked about, early on the year when it has first been announced, and we’ve been looking for revenue about $140 million in 2014 EBITDA running about $45 million, and then growing I’d say, 10% to 2015 to about $154 million in revenue with $5 million to $7 million in cost synergies getting to around $54 million in EBITDA. And I want to see if those – if the company was still on that trajectory.
Mark V. Anquillare: Well, we see the company as fundamentally the same company that we’ve – we’ve always thought that it was we’re not actually updating EagleView financials right now Bill, we will do that once we’ve closed on the transaction we’ll come back to you but, we’re not updating you at the moment
William A. Warmington – Wells Fargo Securities, LLC: Okay.
Mark V. Anquillare: But it’s the – it’s the same – it’s the same company competitively positioned and enjoying good success in its markets.
William A. Warmington – Wells Fargo Securities, LLC: Then on the healthcare side, I want to ask about if there was anything you can do to talk about on that pool data initiative.
Mark V. Anquillare: Not really, I mean we – there is one – there is one company that is – is very large and it’s very interested in coming in and the building of the contributory data set is this is how it works, it’s just kind of three yards and a cloud of dust, but every still often you sort of breakthrough and so we’re – we’re hopeful that the one that I’m referencing here, where we actually have – contract papers in their hands will haven’t sooner, rather than later.
William A. Warmington – Wells Fargo Securities, LLC: Well, thank you very much.
Mark V. Anquillare: You’re welcome.
Operator: And our next question will come from the line of Joseph Foresi with Janney Montgomery.
Joseph D. Foresi – Janney Montgomery Scott LLC: 
 :
 :
Scott G. Stephenson: Yeah, there is – there is definitely a relationship, I think your word dependent is a little bit strong because as is true of almost everything that we do in healthcare, part of our opportunity is defined by the fact that we are relative newcomer and so, we haven’t really become the category leader in, I would say, almost anything that we do. And so, part of our opportunity is based upon taking our position inside of these markets. But, yes, one of the confidence points for us on Medicare Advantage, the part of our business which faces Medicare Advantage is that on balance we think that the long-term trends are good. If you just look at demography in the United States and you look at the continued relative popularity of Medicare Advantage, we think those are positive factors as it relates to the long-term for our healthcare business.
Joseph D. Foresi – Janney Montgomery Scott LLC: Okay. And what percentage of healthcare now is Medicare Advantage or the work you do there? And then just adjacent to that. You said your visibility has improved. Can we assume that visibility in that business will always pickup, maybe here going forward? I actually think about that in general.
Scott G. Stephenson: So we put out in the past that our Medicare Advantage business is more than 50% our total mix of business in the healthcare space today.
Joseph D. Foresi – Janney Montgomery Scott LLC: And then, just on the visibility side of things. Should we always expect that midyear it will dramatically increase? I mean just from a seasonal pattern, how should we think about that?
Scott G. Stephenson: There definitely is seasonality, particularly as it relates to the Medicare Advantage business. And something that we put out in the past is that overall our total healthcare business is about 40% in the first half, 60% in the second half as a rough general guideline. Without question our visibility with respect to the part of the business that is seasonal increases as we move through the year. But part of what we’ve been trying to stress in this call is that because of the substantial ramp in the overall volumes we have in the part of our business which is transactional, especially the Medicare Advantage business, we have been very diligent in the first of half of 2014 in trying to tune operations, anticipate the second half surge, if I can call it that, and to observe on where we need to be. So, yes, there is more visibility, but the other part of the equation is preparedness and our team – I’m very proud of our team. They’ve worked very hard to get prepared for, to deliver against the successful selling that they’ve been doing. And so, we feel good.
Joseph D. Foresi – Janney Montgomery Scott LLC: Okay. Thank you.
Operator: And our next question will come from Hamzah Mazari with Credit Suisse.
Anjaneya Singh – Credit Suisse: Hello. This is Anj Singh dialing-in for Hamza Mazari. I’m wondering if we can get an update on your joint demand planning discussions with your healthcare customers and what progress you might have made their during the quarter?
Scott G. Stephenson: Well, that’s really what we’ve been reporting on throughout here, I mean our ability to as we mentioned a few minutes ago, the ability to retrieve over 50% more volumes in the same time prior period is directly a function of the coordinating that we have been doing with our customers, as well as our strong sense what the volumes will be in the second half, and so that’s all the product of that of the demand planning, I was actually speaking with the head of our healthcare unit yesterday, and she was in touch with one of our important customer, they’re all important to us. But one of our large customers and it was just more of the same dialog that we're in with our customers in terms of where they're at, what they need. Believe me, there are a lot of operational metrics that get shared back and forth on a very consistent basis and it is that tied in quality us to them and then to us that really characterizes the way we're going about this business.
Anjaneya Singh – Credit Suisse: Got it, and then as we look at your international growth initiative, I’m wondering what are the milestones we should be looking for and as we think about M&A internationally, are there verticals that you prefer to grow organically versus an equivalent basis or will you just be opportunistic and pursue whichever strategy makes more sense?
Scott G. Stephenson: It’s definitely, our M&A agenda is definitely not characterized primarily by opportunism, we have got very hard about which verticals we are in, and our first preference always would be to build out from the verticals that we’ve already established, and so the reference earlier the international market is that’s exactly what that’s about, it’s trying to find ways to take our existing capabilities and as they can relevant in other markets. It’s just a comment which I know many of you have heard us say before, but I think our methods if you think of it as the algorithms and the methods by which we operate the algorithms, I think they're completely applicable by and large in other markets. The issue is that other economy is don’t have the same tradition of data aggregation that we have in the United States. And so, a lot of what actually governs the rate at which we can move out as our ability to begin to cause data sets to flow. We're very open to using our M&A dollars in international markets, but I think you're putting two things together that kind of don't go together in our minds. We will use M&A dollars for international expansion and that’s definitely a part of our thinking, that doesn’t necessarily imply that we were moving into new verticals. I think that it’s our view, generally would be that by and large the set of verticals we are serving is a very adequate playing field for us. There are – there is I don’t want to say too much about it, but there are, there is one vertical which is sort of adjacent to the ones we already in and there may be a linkage there at some point I really wouldn’t want to disclose too much that lower. Thinking that right at the moment, but because I would – I am mentioning that because I wouldn’t want, anybody to be surprised, if it were the case in the future that we did, open up another vertical, but we – for a long time now we said that we are not looking to sort of add verticals without constrain, we are very thoughtful about what verticals we are in and I think we have a good set of verticals.
Anjaneya Singh – Credit Suisse: Very helpful. Thank you.
Scott G. Stephenson: Welcome.
Operator: Our next question comes from the line of Danny Caliendo with Morgan Stanley
Danny Caliendo – Morgan Stanley: Hi guys, thanks for taking my question, I want to delve into expenses a little bit, they didn’t jump as much quarter-over-quarter this year, as they have in the past especially on the SG&A line, and looking at the Q, and there is some of the salaries actually went down in the quarter there? So, maybe if you can just give a little color on your expense control on SG&A? Is it something why may be the bonus is very low, but lower, what is there anything else going on there or maybe your down facto the sales force and focusing more on kind of improving the operational efficiency, let me try to color on the expense curve.
Scott G. Stephenson: Sure, I think there s I’ll let Mark, answer that but I’ll just say there’s been absolutely no layoffs, we are on the expense then a number of parts of our business, so that’s sort of the furthest thing from the reality of our business. But Mark do you want to take on this SG&A account.
Mark V. Anquillare: Sure, I think there is couple of things that we continue to do as we tried to fine tune all of our competition plant and in April we give out our Equity words, so one of the things typically affects is obviously you have an increase in equity that that will make the normal increase, I think what you will also find out is, in our program if your age 62 or alter you what make the best and I think we have fewer people in that bracket, or in that kind of category for 2014. So I don’t think we have that accelerated best in accelerated best that, would have historically taken place in the April timeframe so that may contribute a little bit to the SG&A item that you referred to. The only other thing that, does come to mind is we think about overall the compensation plans, I think we at Verisk probably have been a little bit more focused in 2014 on variable comp that would be in the form of our short-term cash programs as well as long-term equity programs and probably had a little bit less in the form of salary increases. So if you’re repositioning, although, the overall comp increases were at least as good as in the past, but the way we went about it is probably slightly different this year.
Danny Caliendo – Morgan Stanley: One more on the CapEx. Historically you were at the low 5%. Now you’re kind of moving more towards this 9% of revenues number and you mentioned that you were spending more on capitalizing software.
Scott G. Stephenson: Right.
Danny Caliendo – Morgan Stanley: Is there anything one-time in this number or is this just for the next two years or is this 9% number really where you guys are going to be over the next few years? Maybe you’re churning more into a software company than you were in the past or how should we think about the CapEx over time?
Scott G. Stephenson: So we don’t think of 9% as the benchmark. We expect that number to come down as we move into 2015 and beyond. But it is also true that in general relative to, let’s say, five years ago, just to pick a reference point, the software intensity of the business have gone up. I referenced, for example, earlier Touchstone, which is a very major movement inside of the whole cat modeling world and that’s just a category of spending, which is tended to be much lower in the past. I would also say that because of the desire to bring out these solutions in general across many of our businesses, we find are still spending somewhat more on the internal development of solutions, which we capitalized. There have been a couple of things, which I think have been a little bit more one-time. We’ve basically been consolidating down to data centers and all of that, has required some special attention at the moment in time. And we built a major new facility now in Salt Lake City. In that we’re cycling through that in 2014. So, some of those things are going to kind of naturally come down any way. And then, I think as our businesses scale, I think we’ll naturally find that that ratio moderates as well. So 9% is not the benchmark, but it is also the case actually that our business. If you want to be solutions oriented and if you want to be growth oriented, as we do, I think a natural implication is that you become somewhat more capital intense and we have.
Danny Caliendo – Morgan Stanley: Okay. That’s helpful. And then, lastly, just a quick one. Going back to the insurance, you mentioned that the transactional revenue and you kind of indicated that the cat modeling were the big part of that, which you result in this particular quarter. I think you said something that would have been 11% without the cat impact. Number one, is that right? And then number two, just so we can kind of be aware of this in future quarters. With this cat transactional revenue, is it cat as the number of deals, maybe the face value on the deals or maybe the number of terms looking at the deals? Maybe a little color on how to think about predicting when a particular quarter might have higher or lower cat.
Scott G. Stephenson: Yes, that’s a little – your question sort of ended in sort of a funny place, because prediction is a little bit difficult. And I know you are using shorthand when you’re saying cat, but just to remind you it’s cat bonds. And so, its investors are anticipating that there is something in the market that would allow them to make a return based upon – in essence betting on the frequency and the depth of catastrophe activity, but we’re talking about the investing in the bonds. And the bond volumes tend to be a functional of a couple of things. One is, probably some very general sense of the intensity of catastrophe activity in the economy globally, but also a sense of different ways that you can lay off catastrophe risks. So how active is the reinsurance market with respect to ensuring against cat risk et cetera. So there’s a number of factors that are actually in there. The market over time has tended to grow, but it also has tended to cycle around a little bit. Mark, I don’t really have a predictive metric in mind. I don’t know if you do.
Mark V. Anquillare: No. I just will reiterate what I said, Danny. The growth in DA insurance is greater than 10% excluding the cat bonds and the way those cat bonds are priced to be exact. It’s about the size of the deal and obviously that the number of deals that happen.
Danny Caliendo – Morgan Stanley: Okay. That’s helpful. I guess my question was more about how the revenue hit, not necessarily the size of the cat bond market, but how did revenue actually hit your insurance plan? So I guess your answer to that is that if we’re looking on cat bond issuance in a particular quarter, we would want to focus on the number of deals and the size of deals and then it could be taken by 3% impact to growth into this year versus the last quarter.
Eva F. Huston: Hey, Danny, it’s Eva. Thank you very much. I think we got four questions in the set. So we’re going to move on.
Danny Caliendo – Morgan Stanley: Okay. Thanks.
Eva F. Huston: Operator, next question please.
Operator: Our next question will come from the line of Paul Ginocchio with Deutsche Bank.
Paul Ginocchio – Deutsche Bank: Thanks for the confidence around healthcare and talking about the increase you pulled for. It do sounds like it’s more than 50% of your business. Can you just talk about the remaining parts of your business in healthcare, the kind of visibility you have there? And how you feel about that going to the third quarter? Anything you can give us to kind of help us feel more confident in that backend growth rate would be helpful. Thank you.
Scott G. Stephenson: So I think most folks know that – so as we’ve talking about Medicare Advantage that’s really about our RQID division. We have two others. One is enterprise analytics and the other is payment accuracy. Payment accuracy is about diligence and claims to get fraud, waste, and abuse out of them and enterprise analytics is essentially about risk adjusting and including applications of risk adjusting into categories like population health management. So those other businesses are very important in the mix of what it is that we do. And we’re looking for really growth across the board in the business. I would say that kind of recently payment accuracy has had some nice win in the sales in terms of growth. Payment accuracy tends to have more of a transactional nature to it. Essentially our revenue is related to the amount of money that we thrift for our customers. Enterprise analytics tends to be very subscription oriented.
Paul Ginocchio – Deutsche Bank: I don’t know if you’ll give the same. But are those divisions with any healthcare growing at sort of a divisional average in the second quarter or was all the growth driven by Medicare Advantage?
Scott G. Stephenson: So I’m not going to get into specifics, but they’re growing. Yes.
Paul Ginocchio – Deutsche Bank: Great. Obviously those are a little more transactional basis. Is Analytics more subscription?
Mark V. Anquillare: Yes, that’s what I said.
Paul Ginocchio – Deutsche Bank: Right. Great. Thank you.
Operator: Our next question comes from the line of Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber – BMO Capital Markets Corp.: Thanks so much. Just wanted to go back to the EBC transaction. I think initially you had expected the deal to close in July than mid-Q3 now. It’s the end of 3Q. Are there any specific reasons for the delay?
Scott G. Stephenson: It’s the government’s process. I mean, we’re answering questions and we respect our government and they’re going to run their process the way they’re going to run it.
Jeffrey M. Silber – BMO Capital Markets Corp.: Okay. And it’s just a follow-up. Just going back to some, I guess the front loading cost in Verisk Health, would that been in the cost of services line as opposed to the SG&A line?
Scott G. Stephenson: Yes.
Jeffrey M. Silber – BMO Capital Markets Corp.: Okay. Great. Thanks so much.
Operator: Our next question comes from Andre Benjamin with Goldman Sachs Group Inc.
Andre Benjamin – Goldman Sachs Group Inc.: Hi. Good morning. First, I want to know understanding that a lot of the business is subscription base. I was wondering if you’re seeing any changes to demand trends in Argus’ services from a push by some of the banks to get more aggressive lending to some less optimal or “subprime lenders” as the recovery matures.
Scott G. Stephenson: No, I don’t see that as a factor.
Andre Benjamin – Goldman Sachs Group Inc.: Okay and on the healthcare side I am wondering in terms of how us think about the size of the addressable market and growth and I know these things don’t change that much quarter-to-quarter, but if you have any thoughts on how those sides in the market is relative to the $4 billion that you discussed at the Analyst Day, how the three markets are growing, and are there any key capabilities that come up in your conversation with clients that you think will help you better attack those buckets relative to what you are capable of today.
Mark V. Anquillare: Well, yeah so our view of the opportunity really have not change as kind of implied in your question. Healthcare continues to be a very large part of the American economy and in general, it is an environment that is characterized by I would say an increasing interest in the use of data analytics to make decisions. Supported in, I would say in a background kind of a way by our government’s seeming interest in pulling more data analytics and to the part of the cost tax of government is responsible for and by making data sets from CMS a little bit more available. So, that kind of the overall sense of the market is that it remains as the opportunists as it has one of the big sort of issues on the horizon is, will the providers become more risk bearing and there is a lot more talk about that and then there is actually progress to-date if not that there has been none and there are more accountable care organizations than they are used to be, but when you look at the fraction of the risk which has been warned by the providers it still relatively low. Another movement in the space that you got the rise of the exchanges there are the public exchangers there are also the private exchanges and we’ve actually had some nice progress in terms of becoming the analytic inside of some of the exchangers. We actually see the exchanges as another customer segment in the same way that commercial payers or a customer segment in the way that state medicates our customer segment etc. So you have those kinds of developments in the market. But the overall story is the effective reform is to have more people be insured and since the majority of our business is with insurers today on balance that is a relatively positive trend.
Andre Benjamin – Goldman Sachs Group Inc.: Thanks.
Eva F. Huston: Operator, last question please.
Operator: Our last question will come from the line of David Togut with Evercore.
David Togut – Evercore Partners: Thank you for squeezing me in. Just a quick final question if I would, Scott and Mark. I’m trying to piece together your comments, Mark, that you saw over 50% growth and records retrieved in the RQI business, and that you’re expecting 20% plus growth in healthcare in the back half. Can you sort of correlate records retrieved with revenue growth? It doesn’t really seem to be one-to-one. Is there is a ratio we should be thinking of?
Scott G. Stephenson: Well, one thing you should bear in mind. I know Mark is going to jump in at a slightly more technical level, but bear in mind that the record retrieval that we’re talking about relates to only part of our business. So that characterization of a much greater rate of record retrieval is very accurate and augurs for growth in the third and the fourth quarter, but you can’t do it one-for-one in terms of the growth of our overall healthcare business because those records and that retrieval relates to the part of our business, which is Medicare Advantage, which is we said is greater than 50%, but it’s well shy of 100% of our whole mix. So, you can’t complete those two.
Mark V. Anquillare: And, David, I’ll just kind of reiterate what I was trying to describe earlier in terms of follow-on. I think we feel good about the increased volumes. I think it’s indicative of a combination of: a, our customers and working with our customers to get things sooner and also it’s partially indicative of the fact that we do had greater volumes apples-to-apples compared to last year. So, I can’t tell you there is a direct correlation to revenue there, but it’s certainly a partial correlation. And I think it’s a set of good example set aside of several things that we’re doing to make sure that we deliver on the results in the second half.
David Togut – Evercore Partners: Is Medicare Advantage all of the RQI business?
Mark V. Anquillare: Not all of it, but most of it.
Scott G. Stephenson: Yes, yes.
David Togut – Evercore Partners:
 :
Scott G. Stephenson: Not sure we said that, David.
David Togut – Evercore Partners: Okay. That’s just my interpretation. Thank you so much. I appreciate it.
Operator: At this time there are no further questions. [Presenters] (ph), do you have any closing remarks?
Scott G. Stephenson: It’s Scott here and I just would like to thank everybody for joining us for this earning call and for your continued interest in our company. I know that Eva and team will be following up with several of you and we look forward to speaking with you next quarter. Thanks for your time.
Operator: And this does conclude today’s conference call. You may now disconnect.